This callis intended for investors and analysts and may not be reproduced in the mediain whole or in part without the prior consent of TD Ameritrade.: At thispoint, I would like to turn the call over to our CEO, Joe Mogliawho will be followed by our CFO, Bill Gerber.
Joe Moglia: Good morning everybody.  Thanks verymuch for joining us.  I recognize thereare a lot of people that are announcing earnings today in the marketplace.  I think so much has gone on over the span ofthe last few months with regards to financial services that I think it isimportant to be able to take a look at least at what we have done and try toput that in context and I recognize that our business is different from otherpeople’s business, but this has not been an easy time in general for financialservices. Despite what has taken place within the market, from our end, we are reallyvery proud of the quarter that we had.  Ithink there are three specific reasons for that, the first is, do notunderestimate the time and intensity with which we approach our balancesheet.  We are very cognizant of therisks, with what decisions we make there, and we try to be as transparent aspossible that will all continue going forward. Secondly, the markets this quarter have seen some pretty significantvolatility.  For us, that has only beenan advantage for our transaction business and we will go over those numbers ina minute; and then finally, we do absolutely believe and we think you are goingto start to see that we are actually starting to achieve some traction in ourasset gathering efforts along the line of our long-term investors as well asthe RAAs. So with that, let me get on to the quarter specifically.  If you recall, in December, the midpoint ofour range was around $0.29.  We gave youa press release and took the $0.29 to $0.39. We came in at $0.40, that is up 67% from what we were a year ago, and up21% from the September quarter and I only point out that for the Septemberquarter because the September quarter was also a record for us. Our net revenues was a record also, $642 million, 58% of that was assetbased, pre-tax income was a record at $357 million and we had our pre-taxmargins at 56%.  Now, if you recall, wesaid that when we conclude the integration going into 2008, we will expect ourpre-tax margins to move above and stay above 50%.  We believe that will be the case as far as2008 goes. Net income came in at a record of $241 million.  EBITDA, a record of $404 million and our ROE,we could not be more pleased with this number, it was 42%. Now, client assets came in at $300 billion. That is up 8% from where we were a year ago, but it was down 1% fromwhere we were on the September quarter. I think with all of the things going on specifically within our sector, weare going to need to be able to give you greater color around our assets goingforward, in general, than what we normally have, but we think at least, for thesake of greater transparency, so you can do a better job of understanding ournumbers, it would be helpful for us to disclose the actual inflows that we haveseen from E-Trade. Now, do not assume that we are going to do that on a regular basis, but forthe sake of transparency, so you can understand our numbers, we are going to dothat now. As of the end of the quarter, inflows to us from E-Trade were approximately$2.3 billion.  The average account thatwe have gotten through that time period was $250,000.00.  Now, if you look at that in the greatercontext and I realize, you are going to be able to back up net new assets onthis.  Before I give you the number, Iwant you to understand, we have not decided to start to give you net newassets.  We just want you to understandour numbers as far as this quarter goes, but the $2.3 billion of inflows thatwe have seen from E-Trade for this quarter would be 25% of our net new assets. So we therefore feel good about the traction that we are starting to achievein the asset gathering arena. With that, now let me give you just a little color in terms of what theearnings actually looked like.  Wementioned already that at $0.40, they were up 67% from where we were a yearago, but just some of the facts behind those numbers. On a year-over-yearbasis, revenues were up 20% and expenses were down 4% and the pre-tax margins ayear ago were 45% and today they are 56%. So that just reinforces, we believe, the power of our operating leverage andif we do a good job of managing both, what we are trying to achieve withregards to our revenue line, as well as our expense lines, operating leverageshould kick in and we think it would be a tremendous benefit but not justtoday, but down the road and over time with our shareholders. Now, as you all know, our business generates revenues a couple of differentways, and we have already started to break this down for you, we will continueto do that.  Basically, we have gotrevenues generated from our transactions and revenues that are generated fromour assets.  Overall, as I just pointedout, revenues are up 20% to $642 million. The transaction piece of that is up 29%. We think frankly that, that is an outstanding number and the asset basednumber is up 14%, we think that is a very good number. I want to give you more color then on the transaction piece.  Now, it does not take a rocket scientist tounderstand that our transaction revenues are dominantly driven by trades perday.  So if you look at the Decemberquarter number. For the December quarter, we averaged around 322,000 trades aday.  That is approximately what we areaveraging as well so far today in January, and this is more interestingly,these are actually the numbers around which we have seen pretty goodconsistency on over the span of the last three or four months. To do over 300,000 trades a day and to sustain that is pretty good over thattime period and obviously has a significant impact therefore on our transactionrevenues.  There are two reasons forthat.  By far, the number one reason isthe volatility that we have seen in the market. We are at 5% activity rates, which is the highest activity rates we haveseen since some time in 2005.  But there is another reason, to focusonce again on our client segmentation strategy, there are only three clientsegments that we are aggressively pursuing and one of those is the ActiveTrader.  We have been number one in thatand we continue to be number one in that spot, but because it is important tous and it is one of our main areas of focus, we continue to provide our active traderswith enhanced functionality and risk tools. So what we have also seen over the span of the last quarter, which I thinkis important to us, that we have seen greater use of some of the riskmanagement tools that we have provided our Active traders and we frankly thinkthat, that makes a difference here as well. So we are seeing take-up in usagein command center skill tools, products like StrategyDesk and overall programtrading.  Also, we have said in the pastthat the reason why our options business is important to us, not because it is theoption business, but because options are important to our Active Traders. So therefore, what we provide them in options is important and over the spanof the last year, our options business has doubled in our organization and weare very, very pleased with that. Now, we take a minute. I want to give greater color with regards to theactual assets. Away from transactions, we earn money off of our assets.  Now, everybody knows that, but the reason whywe have been talking about it so much over the span of the last couple of yearsis because success in that asset growth, we think, becomes a function over timeof our actual asset accumulation story and our ability to be able to providelegitimate value to the long-term investor and the RAAs. If indeed, we can do that, we do think at some point, the marketplace willstart to give us credit for being an asset gatherer and that should enhance ourmultiple.  We said last year that ourobjective is that at some time in 2008 we would start to see some traction, we thinkwe are starting to see some traction already in the revenue earning assets andI will break that down for you.  Whileover all client assets year-over-year we are up about 8%, the revenue earningassets for us in their entirety were up over 23%.  When you ask me and ask us, how do weevaluate whether or not you are actually achieving some traction here, we said,“These are the numbers that we think you are supposed to be focused on, andthese are the numbers you are supposed to look at.”  So therefore, we will give you great clarityaround these numbers. The fee-based balances, which include mutual funds, money market funds,Amerivest, TDAX life-cycle funds etcetera are up 30% year-over-year.  We feel very, very good about that.  And the investable assets which includemargin, security borrowing MMDA, etcetera are up about 10% year-over-over.  We feel good about that.  Now, to link this with some of the thingsthat we have done in the integration and the conversion and what we were alwaystrying to roll out, I think there is also an important point.  We said that if we are going to be successfulas an asset gatherer, our ability to move to more of a sales organization wherethe client becomes better educated is something that is very, very important tous and we need to get it done.  So wewant to give you a little color along those lines. We have seen success in the guidance campaign that we have promoted whereindividuals can come in and get free evaluations with regards to theirportfolio allocations etcetera.  We arestarting to see referrals to our sales force from our call centers that arestarting to amount to about 200 referrals a day.  That number traditionally would have been10.  We are pleased with the first rollout we had with the TDAX Independent Life Cycle Fund.  If you have not had a chance yet to look atwhat we offer with regards to bonds and ladders and wizards online, I would askyou to do that. We think that will be a competitive advantage for us down theroad, and if you have not had a chance to take a look at some of our retirementtools, the wealth-builder, retirement planner etcetera, you should do that aswell.  We are starting to see a littletraction in those areas. So in general, we believe, we have started to see legitimate genuinetraction in revenue earning assets and that all underpins what we are trying todo with regards to overall asset gathering. Now, with that I want to spend a minute or two on where we are headed withregards to guidance and give you color on guidance before I turn it over toBill where he can give you greater specificity around the numbers. The midpoint of the range had been $1.27, we are taking the midpoint of therange up a nickel to $1.32.  Now, the$1.32 number is 25% ahead of where we were last year, but if that is all wegave you, we would not be giving you enough clarity or information.  So let me give you some color on this.  I have said often, when you have asked me questions,about do you think your pre-tax margins are too high, would you re-allocatesome of your pre-tax margins to investments to grow greater earnings down theroad, and I have said to that again and again, “Yes, we will not hesitate tore-allocate pre-tax margins to reinvestments where we think we are going to geta greater earnings benefit down the road,” one. Two, the way we have always done that is while we do not give us creditfor the earnings until we start to see the earnings kick in.  That is standard operating procedure forus.  We believe that it has served uswell over the span of the last few years. So approximately, the incremental dime or so above what we feel we might bemaking as far as the quarter goes, we are taking half of that and we are givingthat to our shareholders today and we are taking a nickel of that and we arere-investing that into our future, specifically technology and operations, butthe type of technology and operations that will provide us with greatercapacity, greater service to our clients, greater security to our clients andwe think by doing that, it will not only help us with the retention and theyield part of our overall strategy, but we think, we really believe that willenhance our client experience.  We thinkthat this will generate greater earnings down the road. Now, the second part of this is, we just finished going through the tworevenue streams that so far are holding well at the end of the First quarterfor our result for the entire year. So I want to break those down so youunderstand how we are looking at those. With regards to the transactions. The transactions, well we think we had aninfluence on the transactions because of the risk management tools we offered,the key to that is the volatility in the market.  Seventy percent of the USeconomy is driven by the consumer.  Today,you cannot open up a newspaper or turn on the television without looking atwhat is going on with the real estate market, the credit market, or what isgoing on to the value of your home.  Thesame thing would take place with regards to energy prices and therefore, thecorresponding impact; that adds expenses to the average family. Above and beyond that, there are numerous economists that are predictingrecessions.  The employment data in thelast couple of weeks has not come in strong. The recession discussion talks about job loss.  We believe that there is not going to be arecession, but we believe that with all this going on, the impact to the actualbehavior of the consumer has to take place in some sort of way where it is apullback. That pullback will have a negative impact in the economy. We believethat pullback will then have a negative impact on the overall market. We recognize, it is our job to run our company in good times and bad times;we recognize that. But we just finished our First quarter.  There are still three quarters to go.  And we think it is very prudent on our part,at least as far as the transactions go, and at least at this particular pointin time, to not increase the transaction forecast for the subsequent threequarters. When you look at the second part of the equation, the revenue earningassets, the revenue earning assets for us, for this year, at the end of Octoberwhen we were discussing 2008 results, we said, our target for the year wouldcome in at 16% growth on revenue earning assets.  When we gave you that number, we said wethought that was an aggressive number, but we felt we had a shot to be able toget there.  We are on track to get there,but we think that is an aggressive number and it is still the First quarter.  So we are not making any changes there. So atleast at this time, with three full quarters to go, we are not making anychanges to forecast with regards to the March, the June, or the Septemberquarters.  We will however, reevaluatethat, of course, and give you greater color at the end of each of thosequarters, but that is where we believe we should be today. Now, for all of you that have your own models, one of the things that Billwill give you today and we have always given you is a sensitivity analysisacross the respective drivers that impact our revenues and our profitability.So in effect, if those drivers change, this will be the bottom line impact thatTD Ameritrade will actually have.  Youcan certainly make your own judgments as to what our numbers may or may not beand fit those into your models and come up with your numbers. But for us now, the mid point of guidance for the rest of 2008 is going tobe $1.32 that is up 25% and we will re-evaluate that and discuss that with youat the end of each quarter. With that let me turn it over to Bill.
Bill Gerber: As Joe mentioned, we once again shattered all of our oldearnings record starting off Fiscal 2008 with yet another record quarter.  In fact, I would like to point out that ournet income for this quarter is approaching the total revenue for the year thatI started with the firm, which was 1999. The last eight-plus years have been quite remarkable. As you can see on slide nine, we continue to exhibittremendous strength in cash generation with our EBITDA coming in at a record of$404 million or 63% of our net revenues. This is an increase of 39% over the $291 million or 54% of net revenuesin the same quarter last year. Note that over the last four quarters, we have generatedover $1.3 billion in EBITDA.  We alsohave a record Return on Equity this quarter, 42%; up from 34% in the Decemberquarter last year.  42% Returns on Equityare excellent results and are a testament to our profitability and to how wellwe are managing our shareholder’s equity. Let us turn now to the actual December results as theycompare to the same quarter last year in slide ten.  We are proud of the organic growth we haveachieved over the course of the quarter. Asset-based revenues continue to climb and account for roughly 60% ofour net revenues.  As we have saidbefore, these asset-based revenues reinforce the stability of our overallrevenue stream. Our net revenue was a record $642 million up $107 million or20% from last year.  Ourtransaction-based revenue of $260 million increased $66 million year-over-year,as our clients continue to engage themselves in the market.  We realized the boost in training activity of84,000 trades per day, a 35% increase. Trading activity was 322,000 trades per day or a 5% activity rate versuslast year’s activity rate of 3.8% or 238,000 trades per day. Our average commission rate was down $0.20 to $12.84 due tomore promotional trades and lower fixed income commissions and was offset bythe higher mix of option trades that Joe discussed.  This commission rate was within our guidance. Asset-based revenue, which is a combination of fee-based andinvestable asset revenue was $373 million, an increase of $46 millionyear-over-year.  We saw a $15 millionincrease in fee-based revenue almost entirely due to a $14 billion increase inbalances with virtually no change in the rate earned on those balances.  Recall that these balances include mutualfunds, money market funds, Amerivest and other products. And investable asset revenues were up $31 million or 11% to$305 million.  Half of this change wasdue to increased balances of $2.9 billion and half due to 8 basis points ofhigher net interest margin.  The revenuesare up primarily in margin lending, which reached historic highs during thequarter. The net interest margin is up 8 basis points, primarily dueto earning a wider spread on the MMDA balances. Other revenue is down, $6 million, due to higher re-org fees in theprior year, which we noted in last year’s call. Expenses excluding advertising are down $17 millionyear-over-year primarily due to the benefits of our post conversion businessmodel.  Now that we are past thatparticular milestone, we have seen expense reductions particularly in clearingand execution, professional services, and communication. Interest and borrowing is also down by approximately $5million as the result of debt payments and lower interest rates in the last 12months.  These cost-savings werepartially offset by higher compensation expenses, primarily from our previouslymentioned investments for growth and higher incentive accruals as a result fromour record financial results.  We alsospent $45 million in advertising this quarter, an increase of $6 million year-over-year,resulting in 149,000 new accounts with a cost per account of $305.00. Additionally, the $45 million was $7 million over ouroutlook midpoint.  The increase in adspending versus outlook was principally related to market opportunities asthere was significant money in motion this quarter. Lastly, as you can see, our effective tax rate for thequarter was 32.5% versus last year’s rate of 39%.  This $0.03 EPS benefit was primarily due totwo items.  First, we reached a favorableresolution on a state income tax issue and second, our 2006 actual state taxrate from our filed tax returns was lower than what we had booked on ourfinancial statements.  Thus, we adjustedour 2007 estimated state tax rates lower to reflect the actual taxes expectedto be owed. Absent these adjustments, our effective state tax rate wouldhave been approximately 38% for the quarter. As you know, taxes are a complex area and estimating state tax rates isa key element in our tax expense each quarter. One final point on this slide, all of these results aredriven by a conservative balance sheet, which takes prudent risk for ourbusiness model.  We do not take unduerisks to reach for yield. Now let us turn to liquid assets for the quarter on slide11.  We continue as a strong cashgenerator which allows us to be flexible in making financial decisions thatbest impact the firm.  We continue tohold liquid assets at a higher level than normal in preparation for our $225million Fiserv acquisition, which we expect to close soon.  We started the quarter at $622 million inliquid assets.  We earned $241 million innet income and had $21 million of depreciation and amortization. This quarter, we left additional capital in the brokerdealer of $195 million.  This capitalsupported the higher margin loans as mentioned earlier and also supportedcertain timing issues at December 31, most of which are reversing inJanuary.  This is not a use of cash perse, this is capital left in the broker dealer to support our core business. We also used $49 million this quarter for capitalexpenditures and other.  We made $6million in mandatory debt payments. Then we used $20 million to buyback amillion shares of our stocks.  Thatleaves us with $614 million in liquid assets. As we said before, there are only five ways in which you canuse your cash.  Debt repayment, stockbuyback acquisitions, funding additional organic growth, or pay a dividends andthat is it.  As you know, we have doneall five in the past two years including the $6.00 per share cash dividendalmost two years ago, today; to the continuing stock buyback program, ourgrowth initiatives, etcetera. We are currently evaluating the amount of liquid assets tobe held at the company in this economic environment.  We will continue to update you every quarteron this topic.  Additionally, we willcontinue to review our capital structure and the opportunities available to uswith our Board of Directors to determine the optimal uses of our free cashflow.  We continue to have greatfinancial flexibility and will ensure utilizing our cash. Let us move on to the 2008 outlook on slide 12. We started Fiscal 2008 with a midpoint of $1.27, a 20%increase over 2007’s result.  We haveadjusted that guidance to include the additional $0.10 that we realized in theDecember quarter over our midpoint result. However, as Joe mentioned, we are now planning on putting half of that$0.10 increase back into the business to continue to enhance the clientexperience and support future growth. We are completely dedicated the organic growth of this firmand feel that reinvestment is an important part of fueling that growth.  We will continue to consider suchreinvestment opportunities if conditions remain favorable.  So this leaves us with a new outlook midpointof $1.32 or a 25% increase over Fiscal 2007. An updated copy of our outlook can be found under the investor tab onamtd.com. On slide 13, is our sensitivity slide Joe mentioned earlier,and this is here to provide you with the ability to assess how changes inmarket conditions might impact our financial results.  And I think you have all seen all thesebefore. Of note today, is the impact on our Fiscal 2008 if the Fedmoves 25 or 50 basis points.  As youknow, we control the credit rate paid and as such, based on our models we wouldexpect a nominal impact from a 25 or 50 Basis Point cut. In summary, the retail investor was very engaged thisquarter.  Volatility continued in themarket and our results again showed the strength of our operating leverage andscalability and the financial advantages they bring to such anenvironment.  We have once againdelivered the best quarter in our history with record asset based revenues, andgrowth in revenue earning assets.  Wefinished the quarter with 56% pre-tax margins and 42% Returns on Equity, bothof which are excellent numbers.  Theseresults have allowed us to increase our guidance for the year with a newmidpoint of $1.32, which represents a 25% increase over 2007. We have seen positive traction on our asset gatheringstrategy.  Our balance sheet remainsconservative, clean, and strong.  Andfinally, we have once again demonstrated our ability to generate cash.  We are in a tremendous financial position andwill be working with our Board to determine how to best utilize the cash. 2008 is off to a great start.  Our goals for the company remainconstant.  We will continue adding tools,services, and functionality so as to help our clients make smart informedinvestment decisions thereby re-affirming their decision to make TD Ameritrade,the investment firm of choice.  And withthat Melissa, we will start the questions. Question and Answer Session
Operator: Thank you, the question an answer session will be conductedelectronically. [Operator instructions].We will go first to Prashant Bhatia withCitigroup.
Prashant Bhatia -Citigroup Global Markets: I guess you are reinvesting some money here to grow.  In your view, can you give us a feel for whatthe two or three areas are that you could really invest that would drive afairly big improvement in client experience? What gives you the biggest kind of bank for the buck there, and is itpotentially a relationship for certain customers a part of that spend?
Joe Moglia: The relationship for certain customers is a part of thatspend, and I think if you want to look at it more from a holistic perspectiverelative to what we were doing prior.  Atthe end of the day, clients come to us because they expect a certain level ofservice from us.  There is a commitmentassociated with our brand. So our ability to be able to do certain things forthem, they are kind of automatic I think in financial services.  Being able to provide simple wire transfers,to be able to provide simple accuracy, and more sophistication with regards toa statement, I mean, a better understanding in terms of what your actualinvestment performance return is, because we are emphasizing asset gatheringmore, we are seeing more business in the mutual fund arena. So what we are trying to do now is spend more time makingsure that our operations and our technology a) can provide greater overallscale, as well as greater overall productivity to provide greater, moreefficient service to our client.  Wethink that at the end of the day, it genuinely enhances the clientexperience.  If you then couple that withwhat we are trying to do on the front end with greater functionality across thelong-term investment, the RIA as well as the Active Trader and link that towhat we are trying to do throughout the sales organization. We think that becomesa pretty powerful brand commitment, so to speak, and experience that ourclients will achieve. So, as you know, Prashant, we talk in terms of not just thegrowth we bring in, but when the clients come in the door, making sure that,that experience is the type of experience that they are hoping to have and thensurprise them on the upside.  We thinkthat would provide them with impetuous to bring greater share of their wallet. So that is sort of the approach on that and that is sort ofthe way we have been looking at it.
Prashant Bhatia -Citigroup Global Markets: Okay, and then, you brought in about $7 billion in net newmoney by buyout of E-Trade which is a pretty strong number; can you give us afeel for what some of the drivers were there, was it existing, was it new?Anything that you could kind of give us a little bit more detail on there?
Joe Moglia: We do not break those specific numbers out, but you shouldassume it was part of both.  And when wetalked about some of the things that we have done in the past, you know that wehave grown our sales force.  We have saidagain and again, if you are going to be an asset gatherer, we have to be ableto provide a greater sales effort and that sales effort is not, “Hey, I havegot something to sell you.”  It is aneducational oriented one.  So, I couldkid at some time about that adage, but you give somebody a fish.  You feed him for a day, you teach him how tofish.  You feed him for a lifetime.  Everything we do deals more along the linesof, if we can better educate our client base, they a) will become moreindependent; b) they will be able to make, we believe, better decisions, and wewill do whatever we can from our end to be able to help them do that. So if they want to make those decisions totally on theirown, they can.  If they need somevalidation, they can have that, and if they want somebody to actually managetheir money for them, we can refer that as well. So that is basically what we are trying to do there.
Prashant Bhatia -Citigroup Global Markets: Okay, and then, just finally, so far in January, the assetintake from E-Trade, is that still running at elevated levels versus historicaltrends and can you share any TFA data there versus history.
Joe Moglia: I think, again, for you to have clarity, I think it isappropriate for me to share that, we are not going to give specific numbers,but the numbers that we continue to see with regards to inflow from them issignificantly higher than anything we have ever seen historically.
Prashant Bhatia -Citigroup Global Markets: Okay, great. Thanks!  That is very helpful.
Operator: We will go next to Richard Repetto with Sandler O’Neill.
Richard Repetto –Sandler O’Neill & Partners: I have got some questions for Bill actually.  If I had to summarize Joe’s comments aboutthe outlook going forward.  It would beto say that we are just keeping it the same because we really do not know whatthings are going to look like, would that be correct?
Bill Gerber: I think that is very fair.
Richard Repetto –Sandler O’Neill & Partners: Okay, I looked at this outlook statement and you have takenthat nickel of investment spending. So if every penny is $10 million, you wouldexpect expenses to be up $50 million; but if I look at this outlook statement,it is telling me that the expenses are going to be up for the next threequarters, more like $88 million or close to $90 million.
Bill Gerber: Yes, the other part of that of Fiserv.
Richard Repetto –Sandler O’Neill & Partners: Okay, and then well that answers the question.  So in the revenue side, that is up $37million as well from your prior guidance.
Bill Gerber: Also Fiserv.
Richard Repetto –Sandler O’Neill & Partners: So you are basically making Fiserv as break even?
Bill Gerber: Correct.
Richard Repetto –Sandler O’Neill & Partners: You hit the fast ball! Next question, the debt repayment. Prior you had modeled some debt being paid down over the last threequarters; it does not show any debt re-pay over the next two quarters, couldyou explain what the change in the outlook here is?
Bill Gerber: Yes, as I mentioned real briefly in my remarks, we arecurrently evaluating how much cash to keep on the books in this economicenvironment and our debt is at a very attractive after tax rate of 4% and probably,we will go lower if the Fed cuts.  Andso, we are evaluating whether or not to keep more liquidity at the companylevel and look at the other opportunities we have available to us or pay downthe debt. So right now we have not made a decision whichever we are going to goyet.
Joe Moglia: Rich, do you mind if I interrupt and jump in here?
Richard Repetto –Sandler O’Neill & Partners: Not at all.
Joe Moglia: The one thought to that, at least we are being sensitive ofand we are happy to get your comments on this and we do expect a pullback.  We do not believe there is going to be arecession, but if indeed we go through a difficult period.  I talked about the economy and therefore,correspondingly lagging impact on the market. For us to have a reasonableamount of cash available in a difficult time and in effect keep our power dry,may not be a bad strategic thing at all, at least for a little while because wehave seen historically when the markets go through difficult time periods,assets tend to come up cheap. So that is also in the back of our mind.  Having said all that, we recognize, we havegot a lot of cash on our balance sheet and we want to be sensitive to makingsure that we take the most advantage of that, but those are some of the things thatare going through our heads now and then.
Richard Repetto –Sandler O’Neill & Partners: That makes sense.  Thelast question, Bill, back to sales, you said that there would be no impact toEPS at 25 to 50 Basis Point cut, can you give any sensitivity beyond that ifthings get wild and crazy?
Bill Gerber: For me to say that we have modeled the 25 to 50 and up to75, it would certainly have an impact probably a penny-ish for a year, but itreally is going to depend upon the slope of the curves and then what ourre-investment opportunities are; but we think that it is because we controlhalf the equation on the credit side, and we are do a lot of flexibility here,but it would probably go up a penny-ish.
Richard Repetto –Sandler O’Neill & Partners: The Fiserv thing, we did not model Fiserv into the outlook,you did not model it into the outlook the last quarter, is that what you aretelling me?
Bill Gerber: Right and what we anticipate is because it is supposed toclose here very shortly, it did not make any sense. We tended to ignore it forwhat could be under a week.
Richard Repetto –Sandler O’Neill & Partners: Understood, very last question.  What spreads do you want to give the Patriotson winning the Super Bowl Joe? Or what odds?
Joe Moglia: Thirteen.  Oh, by theway, I do not want to go on record for this. I was actually asked this question in October publicly, what wouldhappen as far as the Super Bowl goes and in October, I said that the Patriotswill run the table.  They will goundefeated.  They will finish 19:0, andthey will win the Super Bowl.  I am notsaying that now, I said that in October and the spread is 13.
Richard Repetto –Sandler O’Neill & Partners: A visionary in many ways. Thanks.
Operator: We will go next to Howard Chen with Credit Suisse.
Howard Chen: Congratulations on the strong quarter.  Joe, we are six months post the announcementof the initial round of the incremental investment spending and how much ofthat initial $100 million have you deployed and have you seen any break even orpay back for that initial round of the investment there?
Joe Moglia: All of it has been deployed and I think based on the numbersthat we just went over this morning, we believe we are starting to see tractionand we do not think that, that was an accident. We think that the $100 million helped contribute to some of the successthat we have seen this quarter and hopefully the type of success that you willsee this year, so we feel pretty good about that.
Howard Chen: Okay, and then Bill, I wanted to follow up on a couple ofquestions; one, just with regards to the sensitivity to Fed actions, just apenny-ish for a 75 Basis Point cut, are you in that kind of round numbers?  Are you assuming some steepening of the shortend of the your curves, say like three months to three years?
Bill Gerber: No, actually, we modeled parallel shifts.
Howard Chen: Okay, so if we saw, let us just say, like 50 basis points ofsteepening on the short end of the your curve, 25 Basis Point steepening, youare saying.  Would you think that wouldhave a negative or positive impact overall?
Bill Gerber: Probably, more of a positive impact.
Howard Chen: Okay, and then on the re-investments in TD Bank USAarrangement, are you still primarily invested in Canadian MBS and if so, whatis your current outlook for that portfolio? Do you still see that as a solid place to be right now in thisenvironment?
Bill Gerber: Yes, and yes.  We arestill primarily invested in Canadian Mortgage Backed Securities.  We still see that as being a great place tohave our investments right now.  Thedollars that are not invested in the Canadian are invested primarily in USagency paper. So we believe very low risk and as I think I have mentioned toyou in the past, I wish I would have taken the currency risk with the Canadianmortgages, but we do not do that.  And sotherefore, we are paid in US dollars, but right now, the portfolio is verystrong.
Howard Chen: Yes, the money is very strong here.  With regards to just deposit pricing and onthe commission for trade, Bill, are you seeing any sort of competitive pressurefrom those in the industry that might be much more wounded that you are, onboth the deposit pricing as well as commission for trade?
Bill Gerber: I do not think we are wounded, so that is okay.
Howard Chen: So there are others that are wounded.
Bill Gerber: No, we are not seeing a significant amount of pricepressure.  There is always price apressure in everything.  Probably less soin commission, of course, but in deposit rates, we continue to try differentoffers as well, and to have a higher yielding offer and see what traction that gets,but right now, I think, I would say the competitive environment really has notchanged dramatically from what it was six months ago.
Howard Chen: Okay, and then final question on capital management, knowingthat you have very attractive terms on your current debt, I just want to kindof flip up the question, and what do you think the outlook would be if youwanted to raise additional debt right now in the market to do with strategicposition, do you think you would have the flexibility to do that?
Joe Moglia: I think if the market place liked the strategic opportunity,I think it is difficult as the environment is now, I think you have got toframe this in the environment that we are currently in. So it would not be aseasy as may be under normal circumstances, but I would think that the marketlike the strategic acquisition that we were looking at it, I think we willcomfortably be able to raise a reasonable amount of more debt.
Howard Chen: Right, I guess, with 50% margins, 40% ROEs, I mean, I wouldthink the market understands that your business model generates a lot ofcompassion [ph].
Joe Moglia: I would think that too, Howard.  We would need to explain that to themarketplace, which is what we did last time. This is what we will do again.
Howard Chen: Okay.  Thanks so muchyou guys.
Operator: We will go next to Mike Vinciquerra with BMO Capital MarketsCorp.
Michael Vinciquerra -BMO Capital Markets Corp.: One question, I do not want to beat this up, Joe, but theE-Trade, the $2.3 billion, I just want to make sure I understand; does thatinclude only assets ACAP added over to you, does that include subsequenttransfers into the same account that opened through the ACAP?
Bill Gerber: It is only the ACAP that have transferred over to us.
Michael Vinciquerra -BMO Capital Markets Corp.: Okay, so those clients brought additional assets to you;subsequent that, that would be included in the other $7 billion or $8 billionin net new assets?
Bill Gerber: Quite possible.
Michael Vinciquerra -BMO Capital Markets Corp.: Okay, and question for you Bill then, looking at the moneymarket deposit account, the average fee rate looks like it jumped 50 basispoints net yield to you guys during the quarter, what is the dynamic there?
Bill Gerber: Say that again, Mike; I am not sure I followed that.
Michael Vinciquerra -BMO Capital Markets Corp.: On the page you have selected operating data, you show yourmoney market deposit account fees, the average balance is about flatquarter-over-quarter, but the average annualized yield went to 3.5% to 4.0% andthat actually drove that number higher than we could model, what was the driverof that 50 Basis Point improvement?
Bill Gerber: It was the lowering of the rate paid to the client which wasthe main driver of that.
Michael Vinciquerra -BMO Capital Markets Corp.: And it reflects the fact that you guys have extended allpart of your portfolio and so it is locked in it, of longer term money?
Bill Gerber: That is right. Exactly.
Michael Vinciquerra -BMO Capital Markets Corp.: And then just one question, when you were going through yourcapital management, you mentioned CapEx and other at $49 million, typicallyCapEx is much, much lower; can you provide any detail on that line?
Bill Gerber: Certainly, as part of the investments or growth and otherthings, we are spending some of that money in the CapEx.  We continue to go through and renovatebranches etcetera. So it is a combination of those things.  I think that is a little bit high, probably alittle higher than what we normally run, and of course the other part in therewould just be kind of paying down accounts payable and just no use cash. So ifit becomes real material and certainly we will split it out for you, but I donot have it right at the tip of my fingers here.
Michael Vinciquerra -BMO Capital Markets Corp.: Can you kind of book-in the CapEx spend, maybe just a widerange, just give us a sense of where it might be as we look at cash flowprojection.
Bill Gerber: I think it is probably, I would say on the high side, itwould be $25 million a quarter.
Michael Vinciquerra -BMO Capital Markets Corp.: Okay, alright, very good. Thank you, guys.
Operator: We will go next to Brian Bedell with Merrill Lynch.
Brian Bedell –Merrill Lynch: If we talk about client organic growth, do I understand thiscorrectly, if we do the math on the $2.3 billion and that is 25% of net newclient assets, we are looking at about 12% organic growth rate annualized withclient assets?
Joe Moglia: That is right!
Brian Bedell –Merrill Lynch: Okay, and do you feel that in the current market environmentboth with E-Trade and your expanded asset gathering capabilities perhaps and toemphasize the additional expenses you have invested that this 12% is relativelysustainable in the near term?
Joe Moglia: Well, the answer is we do not know.  We think so. We would like to believe that.  Atthe beginning of the year, we looked out at our ability to be able to take outrevenue earning assets and our target was 16%. So far, we are at track with regards to the 16%.  That is an aggressive number, but we feelgood with what we have seen so far.  Wecontinue to reinvest back in the business and we will see, and as part of thereason why with regards to the assets earnings part of the picture when we lookat guidance, that we were not at the point now where we wanted to change that.We were all directed to increase it or what have you, so we will give morecolor on that, Brian, as time goes on, but we feel good about our progress sofar.
Brian Bedell –Merrill Lynch: Okay, great and then, just doing the math on the sensitivityto the charts, if we replicate the fourth quarter, the December quarter andthis March quarter, the way I calculate that is about a nickel upside to yourFirst quarter EPS from the mid-range guidance, does that sound about right?
Joe Moglia: Sounds about right.
Brian Bedell –Merrill Lynch: Okay, and then would you spend some of that or would you letthat fall to the bottom line?
Joe Moglia: We would evaluate that then.
Brian Bedell –Merrill Lynch: Okay, and then just going back to the question on the moneymarkets funds, it has made your 350-400 basis points came from lowering yourdeposit cost. If the Fed was going to continue to cut wouldn’t that dynamicsomewhat stay in place in the near term?
Bill Gerber: It just depends because we have different tiers and there isonly so much you can cut.  You cannot gobelow zero, and so it depends upon the tiers that it affects and so thereusually is a little bit of slippage when you get down to these lower rates, itgets repressed a little bit.
Brian Bedell –Merrill Lynch: We are still at relatively decent rates, we are not near thefloor as just yet. So I would think that as the Fed is aggressively cuttinghere over the next few months potentially there would at least be some moreliability sensitivity to your balance sheet and you would get a near termexpansion on that.
Bill Gerber: And again according to our models and when you look at thetiers, it is very important to look at that tier structure and that is reallythe control or element that we have and there are certain amounts and forcompetitive reasons etcetera, etcetera that we would look at how much can wecut, but all in a 25 or 50 Basis Point cut, we think is nominal.
Brian Bedell –Merrill Lynch: So do you think you, sort of, over cut during the fourthquarter and then there will be some, sort of, catch up in the First quarter? Inother words, maybe you cut more relative to the Fed cut than you normally wouldhave in the fourth quarter for whatever reason and then in this quarter, youmay not use your deposit rate as much?
Bill Gerber: No I think, when the rates went down in the fourth quarterwe looked across the board and cut it but certain tiers within our MMDAstructure, we pay a very low rate and certain tiers are below 50 basis points,below 25 basis points.
Brian Bedell –Merrill Lynch: Okay, so you are already hitting the floor then or gettingclose to the floor.  And then, if youcould just talk quickly about the Fiserv acquisition, are you still bringing on$28 billion of client assets, is that correct?
Joe Moglia: Yes, the numbers are right, the numbers are not $28 billion,and it is supposed to close some time this month and we are waiting forapproval from the FDIC.
Brian Bedell –Merrill Lynch: And then, you are modeling that to be neutral to earningsfor the balance of the year, when does that turn accretive, do you think?
Joe Moglia: Probably 2009.
Brian Bedell –Merrill Lynch: Fiscal 2009?
Joe Moglia: Yes, what we will do on that is subsequent to the closing ofthat deal, we will give you more color on that at that later earning’scall.  So, right now, while we haveincluded it in our numbers because of the timings, it does not make sense togive a whole lot of color on it.  Infact, may be, there is a mistake to actually put the numbers in right nowbefore the close, but we thought it was just wise to do that and we will giveyou greater color around that at the next earning’s call after the close.
Brian Bedell –Merrill Lynch: That definitely helps to put it in there.  It gives us a sense of where the revenues andexpenses are going at least. Just one last question if you want to just talk about yourE-Trade strategy both in terms of the acquisition of their clients through yourmarketing campaign and what you are saying, and then may be contrast that withany kind of outlook of whether you would still be interested in acquiringthem.  What would give you a favorable,sort of, scenario for making an acquisition of E-Trade?
Joe Moglia: Why don’t I just break this data to a number of components,Brian, and if I have missed on something, you can just ask me thatspecifically. One, as far as the E-Trade numbers, I think at least, wehave added on the side to giving you as much information there as we possiblycan.  So, you have greater clarity aroundour numbers. Two, we do not have an E-Trade strategy per se as far as ourbusiness plan goes.  In fact, I thinkthat oftentimes is a mistake in the business when you spend too much timewondering or worrying about what somebody else is doing, while you always needto be aware what it going on in the competitive market. We have got our strategy. The client segmentation strategy, the asset gathered strategy.  We talk about it all the time.  We are totally, absolutely focused on that.We do not need to do a deal to be able to have legitimate sustainable long-termgrowth for our shareholders.  Withregards to the E-Trade situation strategically now, we have said in the pastthat we would always have an interest in their accounts, but this is a very,very complex situation.  There istremendous risk-reward involved and we would like to do something in effectthat works long term for our respective shareholders.  And if it does not, we are not going to worryabout it. So, we still have an interest in doing that.  I just reinforced the fact that it iscomplex.  Away from E-Trade, there hasbeen no change at all with regards to what our strategy is.  If we think there is something that works forourselves and our clients, we will work hard to try to figure it out.  But while all that is going on, our numberone objective is to be able to deliver on our business strategy.
Brian Bedell: Regarding E-Trade or any other acquisitions, you wereinterested immensely in the brokerage account. Can you just reiterate your view on taking on any credit risk?
Joe Moglia: Well, I think actions speaks louder than words and you couldhave easily taken on credit risk over the span of the last couple of years onour own balance sheet and I think when we look at those things, I mean the riskreward tradeoff of making a few more dollars with regards to your earnings andpotentially having a credit problem that actually can jeopardize your firm andput it at risk that is not worth doing for us. So we will continue to look on a risk reward basis and bevery, very sensitive to what the benefits might be by extending more on  the curve, taking a little credit risk,etcetera, etcetera.  The bottom line thatyou have got to err on the side of being conservative there and we will betransparent about it as far as you and the marketplace goes.
Operator: We will take our next question from Michael Carrier withUBS.
Michael Carrier: This is a question on the outlook.  I think the current activity rates have beenstrong and the asset growth has been stronger than expected; but obviously,they all share that same uncertain outlook and I think if you look at theoutlook statement and you try to balance, you have to continue to investbecause you are making progress on the asset side and you want to continue toinvest for the long term in that area of the business.  But on the trading side, we could easily seethe moderation. So by two questions, one is, what percentage of yourexpenses can you rein in if you do get in to that environment? Two, if I look at the outlook statement and if I adjust forlike Fiserv, meaning the payment and some of the excess capital that you arekeeping in the broker, you still have like a billion in EBITDA this year, whichwould be somewhere in the range of $50 million and buy that to use it all.  And in the outlook, it looks like maybearound $10 million and obviously that is just more conservative in thisenvironment.  But just your outlook on,can you increase that given the strong cash flow and then again on theexpenses, like what portion can you rein in if you get into that, kind of,sluggish environment?
Joe Moglia: If I take the difficult environment question first; part ofthe reason why we are leaving the transaction number alone for the rest of thequarter, in effect, if we are 320,000 trades a day and let us say our averagetrades for the rest of the year are in the 260,000 area, you are looking at a60,000 trade push. We could still deliver the numbers that we promisedyou.  So as trades get eroded and theprofitability from those trades gets eroded, we are still comfortable we aregoing to be able to hit our numbers. Now as we start to see that, we manage our businessdynamically.  So therefore, when we talkabout reinvestment back into the business, if the numbers are coming off, weare going to be much tougher on ourselves. And then, if we get to the point where we start to approach, let us say,258,000 trades per day threshold, then we will have to start to look moreaggressively with regards to actually cutting expenses. But we look at that every week and we will do that on adynamic basis.  Just as we might takepart of our profitability and reinvest it back in the business.  If the profitability is dropping off, we willbe doing less reinvestment and if it starts to aggressively drop off, we willstart to cut our cost.  In all cases, westill feel pretty comfortable about the $1.32 that we promised.  That is question number one. Question number two, I mean you are 100% right, we are acash flow generation machine.  We feelgreat about where the EBITDA was.  I didsay that I do not think it is a bad idea and usually we are pretty aggressivewith how we put our cash to use, but I think, with the environment that we arein right now; it is not that we are trying to save for a rainy day.  In a tough environment, there maybe anincredible opportunity that maybe a phenomenal use of our cash relative towhere we are today, down the road.  We dobuy our stock back everyday; we have got our revenues that work on themarketplace.  We are more aggressive, thestock price is lower, but we are buying back everyday and with regards to thedebt, we will not hesitate to pay down the debt, we just think on after taxbasis that it is cheap, and there may be an opportunity out there we do notnecessarily want to lose. Remember though, this is dynamic; we do not lock this in andforget about it.  These are things thatwe look at all the time as a finance and a management team and it is a regulardiscussion as far as the Board goes.  SoI think you make a great point.  We aresensitive to that, but that is the reason why we are looking at it the way weare looking at it.
Operator: At this time, we have no further questions.  I would like to turn the call back over toMr. Joe Moglia for any additional or closing remarks.
Joe Moglia: Once again, I recognize there is a lot of stuff going on atfinancial services today and they recognize you all have many responsibilitiesaway from what you might have as far as TD Ameritrade goes.  I thank you for joining us today.  And I really am proud of the quarter we havehad, especially in light of everything that has taken place in themarketplace.  So thank you very, verymuch for joining us and we look forward to talking to you and seeing you at ourAnnual Shareholder’s meeting in February.
Operator: Once again that does conclude today’s call.  We do appreciate your participation.  You may disconnect at this time.